Unknown speaker: Thank you for taking time today. We'd now like to begin Honda FY 2024 third quarter financial results press conference. First, an introduction of the executives on stage. Executive Officer, CFO, Eiji Fujimoto.   
Eiji Fujimura: Thank you. I am Fujiwara.
Unknown speaker: Operating Executive, Head of Accounting and Finance, Masao Kawaguchi.
Masao Kawaguchi: Thank you. I'm Kawaguchi.
Unknown speaker: First, Fujiwara will present the FY 2024 third quarter financial results and FY '24 financial forecast followed by Kawaguchi's explanation on the details of both. With no further ado, Mr. Fujiwara, please.
Eiji Fujimura: To start with, first of all, I would like to extend my deepest sympathy to the victims of the very worst [Inaudible] Noto Peninsula earthquakes occurred on January 1st, as well as to their families, and I wish for a quick recovery and the reconstruction, restoration of the affected areas. I will explain the financial results of the third quarter and forecast of the full year of the FY 2024. Starting with the summary of the results. With regards to the cumulative unit sales into the third quarter of FY 2024, the unit sales of the motorcycles businesses increased mainly in Brazil and Europe, achieving the highest-ever operating profits and operating margins. In the automobile businesses, despite the impact of the warranty expenses, the volume went up mainly in North America, significantly raising the operating profits year on year. As a result, operating profits of the whole company marked JPY 176.3 trillion with the operating profit margin being 7.2%. Regarding the forecast of FY 2024, although some challenging market environment exists in Asia, reflecting additional strength of the earnings structures and the favorable currency impacts, we will revise the previous forecast. For the shareholder returns, in order to improve capital efficiency, we made a decision of our share buybacks in the board of directors meeting today for the amount of 50 billion. Together with the already acquired 200 billion, this term, it will add up to 250 billion in total. Further to the share buybacks, we resolved the cancellation of the treasury stocks as many as 154 million shares. Honda will accelerate our efforts to improve capital efficiencies in order to enhance corporate values. Let me explain the current situation of automobile businesses in the main markets. Due to the solid demand in the United States and the production recovery in Japan leading to the incremental unit sales, the entire unit sales increased year on year. In terms of the sales forecast of the FY 2024, we are expecting the sales drop in Thailand and Indonesia. However, we expect the sales unit increase in China. There's no change of the previous forecast. Speaking of our initiatives for electrification. In CES, the world largest tech exhibition in Las Vegas the other day in the US, in that show, we made a world of premiere presentation of the new global EV concept model of Honda 0 series. The concept model named Saloon and Space Hub. As the Fuel Cell System Manufacturing LLC, the joint venture company with General Motors, we have a statute, the production of the air fuel cell systems. Next, moving on to the motorcycle businesses. In terms of the cumulative results until third quarter, despite the unit sales fell in Vietnam vehicles because of the economic slowdown, we had a stable demand growth in Indonesia and Brazil, thus the entire result ended up at the equivalent level last year. In the third quarter alone, we had increased unit sales in Brazil and India due to the reduction of units in Vietnam. The entire result was lower year on year. Speaking of the results forecast of FY 2024, we expect a unit sales reduction in Vietnam and in Japan. However, sales in India and Thailand would grow, therefore the previous forecast still stands unchanged. In November 2023, Honda organized a briefing session on the electric motorcycle businesses. We updated ourselves target of electric motorcycle in 2030 from the previous announcement of 3.5 million to 4 million units. We announced Harmony models to be launched and we announced electrification strategies such as production and the procurement of structures. Honda will accelerate the electrification of our motorcycles businesses as well toward the realization of the carbon neutral. Next, regarding the outline of the cumulative financial results up until the third quarter FY 2024. In spite of the negative impact of warranty expenses, we had incremental sales of automobiles and the pricing scheme that reflects the commercial value of the products and so on due to which the operating profit increased by JPY 342.4 billion year on year to reach JPY 1.0763 trillion. The profit for the period attributable to owners of the parent is JPY 869.6 billion, up by 206.4 billion. Moving on to the consolidated financial forecast of the FY 2024. In spite of the challenging market environment in Asia and the higher warranty expenses with the reflection of additional fortification for profit improvements and current impact, we have revised the operating profit expectations to JPY 1.25 trillion up by JPY 50 billion. The profit for the period attributable to owners of the parent is expected to be JPY 960 billion, up by JPY 30 billion. Forex assumption is JPY 144 for the dollar in the second half and is JPY 142 for the dollar for the full year projection. Unit sales and P&L are shown in this slide. Regarding dividends. Expected annual dividends for 2024 will be JPY 174 per share based on the condition before splitting the shares, therefore no change from the previous announcement. At today's board meeting, we passed a resolution regarding acquisition and cancellation of our own shares. For the acquisition, we have set an upper limit of 34 million shares or JPY 50 billion. Regarding the cancellation, approximately 154 million shares will be canceled.
Unknown speaker: Next, Mr. Kawaguchi will explain the details of the financial results and forecast.
Masao Kawaguchi: Let me begin. At first, the Honda Group FY '24, April to December, nine months unit sales by business area is as follows. Motorcycles, a decline to 13,961 billion units compared to the same period last year, mainly due to decrease in Asia. Automobiles, 3,114,000 units led by an increase in North America. Power products business, total sales amounted to 2,548,000 units led by decrease in North America. Next, a change in profit before income tax for nine months and compared to the same period last fiscal year. Firstly, operating profit increased by JPY 342.4 billion. The change factors are as follows. Sales impact. We saw a positive impact on profit of JPY 282.4 billion mainly due to an increase of automobile sales, price, and cost impacts. The pricing that reflects increased products value, a decrease in precious metal prices and other raw material costs had a positive impact of JPY 359.8 billion. Expenses. Increase in warranty expenses plus other factors had a negative impact on profit of JPY 366.6 billion. R&D expenses had a negative impact of JPY 28.5 billion. Currency effects, a positive impact of JPY 95.4 billion. Profit before income taxes, despite a decrease in equity method profit mainly from China due to an increase in operating profit, interest income, and other profits was increased by JPY 405.1 billion. Next, sales revenue and operating profit by business segment. Operating profit marked a record high of JPY 411.5 billion in motorcycle business. Operating profit for automobile was JPY 460.5 billion, financial services, JPY 204.8 billion, power products businesses and others was a negative JPY 400 million. Next, I would like to explain the cash flow situation. The FY 2024, nine-month free cash flow of operating companies, excluding financial, was JPY 926.5 billion. Net cash balance at the third quarter end was JPY 3,183.3 trillion. Next, the forecast for fiscal 2024. I'll do review how the group unit sales for each business operation by region, the total volume is unchanged from our previous forecast. Next forecasted change factors behind income taxes year on year. First, operating profit, we expect an increase by JPY 469.2 billion. The breakdown is as follows. Sales impacts, a positive profit -- for sales impacts is positive of JPY 360.6 billion, mainly due to an increase in automobile unit sales, price, and cost impacts. Although there is an increase in labor costs, positive effects of pricing, plus a decline in raw materials such as precious metals lead to a decrease of JPY 434 billion. Expenses, negative 353.4 billion due to an increase in warranty expenses and others. R&D expenses, a negative impact of JPY 51 billion on profits. Currency effects, a positive impact of JPY 79 billion. Although profit before income tax is expected to increase by JPY 565.4 billion despite a decrease in equity method profit mainly from China, offset by increase in interest income and others. Next, changes from the previous forecast. Operating profit and profit before tax forecast is increased by JPY 50 billion. The breakdown is as follows. Sales impacts, negative JPY 11 billion, mainly due to decrease in consolidated unit sales and price and cost impact. Although there is labor cost increase, pricing relating to the increased product value plus decrease in raw materials such as precious metals will result in a JPY 40 billion increase in profit. Expenses, minus JPY 32 billion is forecast mainly due to an increase in warranty expenses. Currency effects, an increase of JPY 53 billion. Lastly, the forecast for capital expenditures, depreciation, and amortization, and R&D expenditures for FY 2024 as shown. There are no changes from the previous forecast. This concludes my explanation. Thank you for your attention.
Unknown speaker: Thank you very much for your attention. So, we'd like to now continue on with the questions and answers. As we have announced before, we are going to take questions on the Zoom. And because of the interest of time, please limit your questions to two questions per person. Thank you very much for your cooperation. [Operator instructions] The first question from the Asahi Shimbun newspaper, Mr. Wakai, please.  Wakai speaking from Asahi Shimbun. Can you hear me? Yes. I have two questions. Question one is Daihatsu homologation problems. You have a many Kei cars by yourself. And what is the impact of sales because of that? And those are fraud in the homologation and development stage. What sort of actions do you take to prevent those compliances? And the second question is the Noto earthquakes, there should be some reduction of a production ongoing today. What is your perspective going forward as a business? How do you address the situations, especially with the suppliers involved? Thank you very much for your question, Mr. Wakai, thank you for those two questions. And let's start with the Daihatsu fraud, these are of other company matters. And we do not fully understand what actually had happened. Therefore, speaking of the financial status, and also what we do to prevent such things, that's the thing we can explain perhaps. And in terms of the results, Daihatsu may have a less number of the sales and then the sales of those Kei cars, whether that will be added to our sales of budget cars. In fact, we do not have any reflections as such effect of additional sales in our financial results at this time. However, of course, there should be some impact on the sales to a certain extent. However, their cars and our Kei cars are priced differently, different price range. And also, our Kei cars are not really shipped to the general dealers, different sales dealers. Therefore, the impact should be restricted, I believe. And also, in terms of our actions to prevent such fraud, at Honda, we have those homologation testing and we have those homologation department who does the testing and the application of those matters. Actually, this department is separately organized away from the development and the production. And in order for that department to conduct test and process for homologation, they already have the well-documented processes as to, for instance, how many days it should take until the acquisition of those certificates. And of course, those certification has to be given in order to make the process to go on to the next development process. We have the clear rules for that. Therefore, we do not have the system such that we can prevent the very tight development stage, which might induce the fraud of those kind. And starting from April 1st, new homologation department and quality improvement departments are to be a part of the functional department so that they can have the improved and the fortifying their quality governance going forward. And in the EV area coming up now, digital as well, maybe in those areas of electrifications or digital things, we would have additional checks, including cybersecurity, I suppose. Therefore, we should make sure we would have a good hands on that. And as a head office, we have a good organization to ensure those control. In terms of the Noto Peninsula earthquakes. As we said, right at the beginning, we would like to wish for a quick restoration of the affected areas and people there. And our situation is that Tier 1, 2, 3 suppliers, those have a very tight lifeline situations and the possibility of the recovery of the production, the stock levels and so on, in fact, every day, we are checking out the level of the stocks, their situation of the recovery of those suppliers. And every day, the situation is progressing. And in fact, our financial statements at this time do not reflect the impact by the Noto Peninsula earthquakes. However, every day the situation progresses. And as for the recent production conditions, specifically with the Kei cars, mini cars, so-called shaving reduction of the production unit per day is actually conducted now. And we had the operations planned on Saturdays, Sundays, holidays too, but we had to cancel those holiday operations in order to adjust production. And we have about 20,000 units affected due to that reason. And in terms of the recovery and so forth, we will continue to look into the situation so that we can explain when the situation is clear. And in terms of the BCP and the supply air condition, how do we control that? Specifically, the suppliers operating, the affected areas, of course, making the greatest efforts to recover. And thanks to them, we try to get information of what they do, stock levels, and the potential production of alternative manufacturing in other areas globally. In fact, we've had quite a good know-how since the last earthquake events. Therefore, at earlier stage, we could grasp the situation earlier. So, this is the situation today. Semiconductor included as well. Next question. Mr. Tanaka, please. Mr. Tanaka, please. We cannot hear you. Can you check out with your microphone? Can you hear me? Yes. Thank you for the presentation. I have two questions. Well, we have seen a number of recalls in this fiscal year. And I think it's reached to some tens of thousands. And you say that the warranty is 353.4 billion. And does this include all the costs of a recalls? Or is it a case that the warranty expense will increase further from what you have already stated? Yes, thank you. And yes, in the third quarter, well, the warranty costs expenses have increased. I do explain that. So, there was a fuel pump [Inaudible] this incident. So, this has been added to the fuel pipe. First of all, I'd like to express my condolences to the person who has passed away. But this, in terms of the accounting, the financial statement, is this reflected in the numbers? Well, in terms of the units, as you mentioned, it is increased to some few million units, and we will respond to this situation. And in terms of the financial statement, we believe that this is a failure coming from our supplier side. And therefore, we will have them compensate for the recall expense. And this is how we've handled it in our financial statement. In regards to this case, the warranty expense is not that large. And that is our understanding. And the reason why it's large, in the February 1st, the US authority and we've already filed notification of a recall, there's a seat weight sensor. And there was a failure with the seat weight sensor. And we have added some JPY 55 billion for that recall. And I think that this is a reason that can be attributed to the increase in warranty cost. Thank you. May I have an ask another about your buyback of shares? Why did you decide to acquire your own shares? Well, yes, I think there's still room for an increase in shares given that [Inaudible]. And I think that impact of the interest rate hike in the US and China. But is that the reason behind this decision, the resolution? Well, about the acquisition of our own shares, we want to improve the capital efficiency. And recently the issue is the PBR, onefold. Given this, I'd like to start talking from there. The management, we are aware of this PBR issue, and we take it seriously. And therefore, we are thinking of what we need to do. We believe that it is a responsibility for us to take further steps. It's about JPY 1,700. It's about 0.7 folds right now, and it's less than onefold, 1.0. And I think there are three reasons for this. Well, the three are: those accumulated from the past and the current and the future. So these are the threefolds. First, from the past decade, capital has increased from JPY 6 trillion to JPY 12 trillion. And so, it's 45% in terms of the ratio. And we have to deal with this past that we have. And the current situation is that for a long time, the automobile revenue had dropped and therefore, the share prices were not increasing because of this situation. But in regards to this, I'm looking at the financial results here. As we've been saying for the past, we are trying to reduce the fixed cost and also improve the revenue of new models and incorporating these measures plus the shortage. We are starting to recover from the shortage of semiconductor, and therefore, the revenue of automobile business is improving. And so, this is the current situation. And what's more important is the future, the auto sector as a whole. The share prices are not picking up. This is because in this age of the XEV, we really don't know who the winner will be, and therefore there is this lack of transparency, uncertainty. And I think that this is having an impact on our business. But we believe that given the age of zero emission, we have to come up with our own strategy and try to improve our resolution, so to say, and try to make investments in a growth sectors and try to reap the profit from those investments. So, in order to improve this so-called resolution, the other day at CES, we communicated that we have a brand strategy in place. Plus, we have technology investment and other strategies to reap the fruit from our efforts in place. And next fiscal year, we are going to have a press meeting. And so, the way we communicate will be changed so that we can gain more understanding from the market. And we will also try to change our way of communicating our technology to the public. So, this is something that we are thinking of right now. So, among these three and going back to the first one, so in regards to our capital here, we want to return to investment. And for the beginning, we have had JPY 200 billion acquisition of own shares. And this program has ended in December last year. So, just like that, we are going to maintain that pace. And by the end of this fiscal year, we want to complete this process. And given this, we believe that this time, the JPY 50 billion decision was made, and we've just made this announcement here. We want to actively investigate the future. And so, while we do that, and also, we have to try to continue to earn with the profitability of ICE, internal combustion engine, and we have to invest in growth and have a balanced way and at the same time, improve our capital efficiency. This is the management message that we want to communicate to you by announcing that we will acquire our own shares. That is all. Thank you. Thank you very much, Mr. Tanaka. Next one, Yomiuri Newspaper, Mr. Nakamura, please. Can you hear me? Yes. Nakamura from Yomiuri Newspaper. I have two questions. One about semiconductor procurement status now. The production situation is very well good now. But do you think that semiconductor supply situations have been recovered fully before the COVID? And the second question was, you said about pre-tax profits. And you talked about the precious metal prices. And what is the current status of those prices, including forex situation, too? You mentioned the reduction of the precious metal prices. So, in terms of the semiconductor supply procurements this year or from the February, March period, in 2023, the situation have been on the recovery. We've done a lot of measures and those actions are getting some fruitful results. And nowadays, it is not a concern at all. Once in a while, we might face some situation. However, we recovered now. And now, we have a full-scale production in place after a long while until the second quarter or so. In the US or the places like that, there were a shortage of the laborers at the supplier and equipment problem because the [Inaudible] were not running for quite a long time. And we had some situations like that. However, those issues have been resolved. And in the North America, full-scale production continues after a long stretch of not having one, but we have a stable condition. And in terms of the precious metal conditions, actually those utilized mufflers or catalysts in the mufflers, that is to purify the air emissions. A few years ago, the precious metal prices were soaring really. But in the last several years, prices have fallen because in China, they have progressed the electrification. That may be the main reason for the precious metal prices dropping down. And in addition to that, in the electrification efforts, not just automobiles, but when the economy is booming, precious metals, steel, copper, resin, those material prices are to fluctuate a bit. We have to, of course, look at forex currency rates as well. We would like to keep watching out all those factors as we go. Thank you very much.  Thank you, Mr. Nakamura. Next question, please. Toyo Keizai magazine, Mr. Yokohama, please. Can you hear me? This is Yokohama from Toyo Keizai. Thank you. I also have two questions. The first is about the full year forecast. Well until the third quarter, I think that you are making good progress about the third quarter. I think the fourth quarter will be showing a slowdown in your operating profit increase. What's the upside and downside? You know, automobile and motorcycle power products, I think the situation will be different, but can you share with us your perspective toward the full year forecast? Can I continue the second question about China? Well, currently I think the unit volume is increasing, as you said, but at the last presentation, I think that there is a severe competition. There's a discount race in China. I understand that it's a situation, but how do you see the Chinese market environment? I think Mr. Fujimura talked about the need to cut production capacity. So, what are your thoughts on China?
Eiji Fujimura: Mr. Yokoyama, thank you very much. In terms of the numbers, the first quarter outlook, rather than talking about that, I wasn't asked to talk about this. I would like to give an overview of the financial results of this time. Well, this third quarter, the October-December, three-month actual, we had a 380 billion operating profit. And the breakdown of the automobile and the motorcycle is 160 billion each. So, it's ROS 20.1%. It's the highest in terms of the quarterly result of motorcycle business. I think the situation is that -- well, this is continuation of what I explained. And there's a downturn in Vietnam and also there is a greater scrutiny in terms of the quality, but in Brazil and Turkey and Europe included, the unit volume is increasing or the profitability is increasing in Asia likewise, though there are areas where we see a decrease in unit volume. I think that we have a proper pricing in place and other efforts, which is trying to show results. So, for automobile, last fiscal year, there was the semiconductor issue. And so, this was a major challenge. But in North America is a plus, 120,000 units. This is mostly hybrid. Second quarter, there was a logistics disruption, but this has been cleared already. And thanks to this, we have a dealer inventory of 30 days. So, this is the standard that we have in place. So, 330 days. So, we reached this standard now. And in Japan, it's a plus 20,000. This is because of the semiconductor. The unit sales is in a positive range. Now China, it's plus. And this leads me into the second question, but it is a positive. But the third quarter last year, the third quarter, the inland area, there was a lockdown, and it was impact of semiconductor supply. So, it was a quite low number in China. Therefore, year on year, it is a positive because of this. So, there is this a shift toward. And also, the reduction in ICE market and I think that this situation continues to be tough for us. We have to use the incentives to compete against the others. This is the situation we have put in place. As for the automobile profit, despite these conditions, the 160 billion, among this number, the realignment of a supplier, it's related to Yachiyo. So, there was the impairment of the subsidiary. About 50 billion or should I say 45 billion, that is Yachiyo impairment, plus the warranty cost, 50 billion. So, close to JPY 100 billion. Factors are included here, but we still have this 160 billion. And it's ROS 4.6%, and [Inaudible] 4 billion to 6 billion. So, it's four times the profit from compared to last year. And despite this tough condition and the volume increase in North America and the hybrid success and pricing, these factors are all combined together. And despite this one-time impairment and warranty cost issue, we have ROS 6% level. And so, I think that this is a situation that we currently have, 600 billion. And in nine months, operating profit, 1 trillion, free cash flow, 930 billion. So, we are in a situation where we are having a record high. And in December, as an outlook have 1,250 trillion, ROS 6.2%. Excluding the one-time events, if we have JPY 135 currency exchange, we think that we have average ROS level of 6.9% and by '25, we are aiming toward 7% of the operating margin. But in May, when we close our books or next fiscal year, when we announce our forecast for next fiscal year, I think we will be able to declare that we will achieve our goal two years earlier the fourth quarter.
Unknown speaker: As for the decline, I'm just finally coming to your answer, the fourth quarter compared to the past three quarters, you say that we will see a decline. Well, would you explain about the details here. Especially the suppliers, we have made cost adjustments plus in US. The wage increase, from January, we began this. And so, there's that cost plus. It's always the case, but we have a fluctuation of a quarterly numbers because of the costs and also R&D. These are going down in the fourth quarter. Please, Mr. Kawaguchi.
Masao Kawaguchi: Mr. Yokoyama, thank you for the question. The third quarter versus fourth quarter, the fluctuation in the profit, as Fujiwara has already explained. Yes, just as well to give you some numbers. As was said, the third quarter, just the three months, we have some 380 billion operating profit. And the full year forecast if you deduct this, according to our current plan for the fourth quarter, we are expecting some 170 billion. So, there is a drop of some 200 billion. But the reason is because the assumption is that foreign exchange. So, this is different. In the fourth quarter, we are estimating JPY 140 against the dollar. The third quarter, the average was about JPY 146 against the dollar. And therefore because of this difference, according to our plan, the premises was 140. So there, is minus 80 billion or so. Meanwhile, the third quarter, as was said, the supplier, there was impairment of some 50 billion. Therefore, this part will be knitted. And what we based is the fourth quarter, skewed a cost and also, R&D expense. Well, there will be the model development timing and the various activities that are underway which will influence this. But we think that the expenses are more skewed toward the fourth quarter. And this is about 120 billion, compared three to four, it's a negative in the fourth quarter. And as I explained, the cost part, again, in North America mainly, the wage increase and labor cost and inflation impact. Cost is on the rise. And these things also has aggravated the cost situation plus some seasonality with the suppliers. And we have some adjustments to be made. And as these all combine to cost, it's about an JPY 80 billion third to fourth quarter, negative. So, about the upside and downside. Upside, it's the foreign exchange. It's JPY 47. Well, it's difficult to predict the foreign exchange rate, but if it could deduce until March, then according to a capital plan, it will be on the upside. Meanwhile, the downside, North America economy and also the impact of the earthquake, these will be the downside factors. But through our sales activities, we want to minimize the downside as much as possible. That is all from me. Thank you.
Eiji Fujimura: Mr. Yokohama, about China, about the production capacity, I forgot to mention this, so I have to answer that part of your question. Last time, when we made our financial announcement, production situation in China, as I said earlier, we have 1.2 billion units capacity, about double yearly. We have the dedicated factory, two factories. So it'll come to 1.7 million units. And once these new factories are -- I'm sorry, is currently 1.49 million plus. And then there will be 1.7 million. We think of that 1.2 million is the appropriate level. We have to make adjustments for the remaining half a billion. And for the China, we are talking with our partners. You know, in terms of how we see the issue, I think our partner sees the same way. We are the same page in regards to this issue. However, especially in China when it comes to employment, they're very sensitive, and so I cannot give you any details here. But for the second quarter, we've been saying this, so compared to that, we are on the same page with our partner and moving forward. This is a progress report. And we have to make adjustments for half a million units, and we have to talk to them about how this will be done. That is all from me. Thank you.
Unknown speaker: Thank you. Thank you, Mr. Yokohama. So next question. [Inaudible] Mr. Taki. Taki from [Inaudible] Can you hear me? Yes, please. Thank you. I have two questions. I'll go one by one. First question is about a current EV sales trend in our main market in Western countries, it is slowing down a bit, instead of hybrid cars getting popular, I hear that. How do you see that situation now? Would that be within expectations or would that be a kind of a tailwind for your businesses? And do you have a target of 2040? And what is the impact of that on the electrification strategy? Thank you very much, Taki-san. And yes, we get this question quite frequently these days. But in terms of the Western countries markets, the EV growth is kind of slowing or mid. And in the US, EV ratio is about 8% recently. That's my understanding. And for us, I think such things can happen. So, we were sort of imagining this kind of thing could happen. But in the long run for 2035 or 2040, in line with the carbon neutrality trend, we need to push forward electrification initiatives. Nevertheless, this is our idea as a mobility company. So as of now, 20%, 30%, 40% and 80% are in 2035 and 100% in 2040. This is the battery EV goals. And such goals, to stand, no change, and we will just simply go on for that. And we are sort of a latecomer in EV area. Therefore, we need to make sure that we stay, the customer viewpoints, to find out and think what is the needs by the customers for the EVs, so that we can provide to them, to get a good profit from that. And that is the important point of this game. Therefore, we don't change the strategy. We simply go on what we do. And of course, the situation may change from time to time. And of course, there's a kind of a lag of several years and so forth. And then into 2020, such things can happen. Therefore, of course, for strategic spending, maybe we can adjust the cash out timing and so on as we go. In the meantime, unit sales should be supported by some means as well. And we will stay flexible to support the situation like that. But in terms of the hybrid, popularity is quite solid. For sure, out of the ICE models, hybrid would be the kind of bridging technology up until the carbon neutrality goal there. For our hybrid has been really well appraised so far in the United States called CRV. Hybrid models are available. And we have a very good demand. And already, it's a 50-50 sort of a split between the ICE petrol-based cars and hybrids, and hybrid demand is very good and hybrids are available for high-grade models. And it is a profitable model sets. And in terms of the incentives as well, hybrid models would not require much incentive because of that. This year, pops into summertime around, Civic hybrid will be launched by then. And after the 2027 model onward, hybrid will be the evolution model such as more compact performance, profitability, body weight. Everything will be over evolution for the hybrid. And of course, we will evolve them further and further. And that much is about North America and Western markets. However, in China, as speed is a little bit different in China, they have the emerging car manufacturers from China. They enter into the Vietnam, Thailand, where we need to battle in the different ways, and we will keep watching the situation from the global viewpoints and also on the appropriate timeline idea so that we can compete there, too. Thank you very much. Second question, you talked about the challenging market situation in Asia, and you mentioned that several times. And closing for the first half, did you see any changes since the first half closing time? And what is the prospect of our upcoming situation of Asian markets? Maybe I can answer your question based on the motorcycle businesses because of Asia. Since the last announcement, the change of the goals are not really happening. There's some differences. However, differences are always due to some good reasons. In Thailand and Indonesia, maybe in Thailand, as I said before, the loan credit assessment is tougher now and the economy is a bit slowing down in Thailand. Of course, there are situations like that. However, at Honda [Inaudible] is doing good, and we are getting the shares really high. And although we have a higher share now, the market itself is tough. And in Vietnam, the export businesses are facing with a tough situation because of the economic stagnation. And I thought the economy would recover quicker. However, maybe this condition may continue to fall this year '24. And for Honda, value 160, that's something we have to compete. And its market share has marked other high level. Negative thing could be. Our own situation, though, in Indonesia, the market itself is growing in Indonesia. But in the second quarter, there was a rushed issue of the airframes because of which we had a unit sales falling down. But we had measures and actions to recover our trust by the customers, and we are leading the sales recovery because of that efforts. And Indonesia sales next term, it will be on the positive side, I believe. And in terms of the future prospects, about different countries in Thailand, first, it will continue with a little bit of negatives for a more while. And I don't know it is related to the regulations, but there could be some upper limit for loans for the customers, starting in April. And when that comes in, Thai situation is be tough. And in India, if issues are cleared, it will be fine. India, Brazil, Turkey, European countries including Turkey, our positive situation can continue for a while. So, thank you for your understanding. Thank you very much. Thank you very much. For the interest of time, the next will be the last question. Nikkan Jidosha, Misatori, please. Can you hear me? This is Misatori from the Daily Automotive newspaper. I have two questions. The first is about China. Last time you said that it's about 1.1 million unit sales that you're expecting for the full year. That was at the midterm, but is your forecast unchanged? Is that understanding correct? I want to double-check this. And having said that, next fiscal year, what is the forecast? Well at the mid-term announcement, I think that you were saying that you were thinking that the same trend will continue into next year. Does that remain the same? And the second, one is asking this question, about the sales price and cost impact, the wonderful chart that you mentioned. Can you explain about the breakdown? So, nine months and also the full year. So, what are the factors that comprise these numbers? Thank you very much.
Eiji Fujimura: In regards to China, the 1.1 million units that we're expecting for this year, well, this is what we announced at the middle of the year. Of course, the big CRV, these core models, we have invested a lot of our resources here. And if we underperform, then we think that our market performance, as we shift to that, will not be good for us. And therefore, we think that we are selling at around the high price, but in order to maintain our presence, we think that we need to maintain a certain volume for the sake of the future. And then that is how we've competed. And as a result of the third quarter, we have slightly overperformed our plan. And it's plus 30,000 from the 1.1 million. The fourth quarter, there is a dealer inventory, that has stocked up and therefore about 160,000. So, we have narrowed down on our wholesale plan. But looking at the current situation, maybe the number could be larger, that is the impression that we get right now as of now. As for next fiscal year, the current 1.1 million units, plus EV, the e:N series, the second of the series will be the first step and the third series, that will be coming up in the second half of the next fiscal year. And therefore, if it turns out to be 1.3 million this year, then we think that we could go beyond that. And about the second question, Mr. Kawaguchi.
Masao Kawaguchi: Thank you for the question. About the sales and also the cost impact of what we explained in the waterfall. Let me explain about that, that first about the nine months, the waterfall. The 360 billion plus was what I explained. Of which the pricing impact, this is about 270 billion or so. It's a plus 270 billion, of the plus 360 billion. So, that is the one part. And the remaining 90 billion is the impact of the cost. That is the breakdown. About that pricing, this is mainly the automotive market. For each region, there are differences in the inflation rate and also the customer situation, plus our model. Value-added situation are different. And therefore, we have to examine these closely in determining our selling price. But because of this, of the 270 billion for the automotive, it's about 200 billion attributable to pricing. The remaining cost of the plus impact, the manufacturing cost, also the drop in the precious metal price, this has an impact. So, we have these factors. And the labor cost is rising, plus there's the inflationary trend. And therefore, there is this cost increase pressure, so minus 27 billion. But meanwhile, the precious metal and material cost is going down, and so is the plus 260 billion. Meeting this, it's about a positive of JPY 80 billion to JPY 90 billion. Now, annually, in other words, how we see the fourth quarter and throughout the year, the selling price impact, we could think that it will continue to have an impact because we'll continue the change, and also the change in selling price will continue to have an impact. So we'll continue to see that impact in the fourth quarter, annually. As I showed you in the full year forecast, the cost, in fact, it's about 430 billion plus, of which 360 billion. And this is a full year. It's the impact of the pricing. Meanwhile, the cost part, well, the material cost, yes, it is declining. But once the declining pace slows down, then in the fourth quarter, we have incorporated that slowdown. The plus impact will compare to last fiscal year and will come down. Meanwhile the cost -- we think that the labor cost increase, the wage increase will continue to have an impact cost. The plus, nine months, is about 80 billion I said. But for the full year, it will be slightly less. The supplier, we are consulting with the suppliers and sharing information and carrying out our activities. That is all. Thank you.
Unknown speaker: Thank you very much [Inaudible]. Today, we didn't get this question, but I would like to appeal one point. If you have time, although, the time is already finished, however, if you could stay on, please stay with us. So, in terms of the summary of the financial status, I didn't say it because it would be too long. But now, the thing is that why motorcycle businesses are so strong, that is the frequently asked question recently. And we would like the media people to understand that fully. Maybe you can write an article that for your own writing and then if you have time, please let me state this. Before the COVDI-19 in 2019, we had 220 million unit sales globally. Now, we have 188 billion units in the plans, this term, but back in 2019, our OP was at JPY 290 billion, 14% ROS. Now, we have 500 million businesses. And the RP per unit is about JPY 20,000 to JPY 40,000, the profit per one unit of the motorcycle. And then we have a near 40% global share. In some countries, we have 80% market share of the motorcycles. And then, we have such a sales commercial power. And we have a well-trusted brand power that is fruit of the cumulative efforts of my predecessors. And then since 2010, we had a mega module platform as strategy in place powertrains, frames. We had a model -- or we had a commonality initiative across the models across the regions. Because of that, we improved our profit structures and we had also improved more contact with the customers with many more models available to them. And now in South America, in Europe, we have a high-profit businesses, which is a good positive thing for us. Therefore, we used to be profiting from Asia, but now 60% Asia, the rest are from the rest of the regions, which includes 20% in Brazil, 20% from Europe. That could be the kind of split across the world. And then, of course, the volatility can be seen in some countries with regions. However, the 20% ROS, of course, if we can sustain that level, ROS could be another story. However, I should say that we have established a structure to be robust against the volatility changes. And such efforts -- successful efforts in the last 20 years have fruited this way. And then the next 20 years of motorcycle businesses, going forward, our technology power to create attractive models with the cost containment, commercial values, financial power. So when everything is in place, passing the automobile area, XEV is shrinking the ICE businesses in China. However, in motorcycle, the growth is still expected, ICE motorcycle will grow. Batteries will be add-on. And battery EVs will be an add on to that. Therefore, business is still growing business. And battery EV and know-how ahead of others, and we have a manufacturing capital in place, and we have those efforts in our automobile. And we can get a synergy from automobile to the motorcycle business areas, which can grow, thanks to the synergy, I think. Therefore, I just wanted to say that we have the motorcycle businesses, like the one I described. Thank you for your time. I said 20% in Europe, but 20%, including the developed countries, including Europe, that includes US, Japan as well. So, that's the precise term. So, please understand our motorcycle businesses precisely. Thank you very much. Now, we can conclude our press conference. And our financial statements are available on our website and thank you very much indeed for your participation. Thank you.